Operator: Good afternoon and welcome to the Progressive Care Incorporated Third Quarter Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. I would now like to turn the conference over to Ms. Shital Mars, Chief Executive Officer. Please go ahead.
Shital Mars: Good afternoon everyone. It’s wonderful that everybody have come in to participate in our conference call about the third quarter results and I’ll begin with our Safe Harbor statements. Forward-looking statements except for historical information contained herein, the statements in this conference call are forward-looking are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently unreliable and actual results may differ materially. Examples of forward-looking statements in the conference call include statements regarding marketing and distribution plans, development activities and anticipated operating results. Factors which could cause actual results to differ materially from these forward-looking statements include such factors as the company’s ability to accomplish its business initiative, significant fluctuations in marketing expenses and the ability to achieve and expand significant levels of revenue or recognize net income from the sale of its products and services as well as the introduction of competing products or management’s ability to attract and maintain qualified personnel necessary for the development and commercialization of its planned products and other information that maybe detailed from time to time in the Company’s filings with OTC Markets. The Company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. So, let’s get started. I’m going to give a brief overview of the financial statements that we submitted today. I know that they were delayed and I’ll go into a bit of the reason why later on in the call, but let’s look at the fundamentals of the financial statements that you’ve seen. The biggest difference in our balance sheet today is the addition of the Chicago ventures note, 250,000 was the first tranche, which we took in July. That 250,000 comes with a 10% OID and some initial transaction fees and those are recorded on our balance sheet and because it is a convertible debt instrument, we are also recording derivative liability and accounting for those accordingly. As we move on into the statements operation, this is where we see a lot of the improvement over prior quarters. Our sales are up significantly, if we look at the nine months as of whole we have achieved almost the total number of sales that we had in our all 2015. We did $13.6 million in 2015 and we are at $13.3 million right now through just the first nine months. We had a goal of $16 million through the end of this year and it looks like year and it looks like we’re going to far surpass that number and we are very excited about that. A lot of what’s driving our revenue growth, on top of directed marketing and I can’t stress this enough, we don’t blanket the city in advertisements and flyers, what we do is we really on focused on doctor’s offices, we deliver superior quality of service to these physicians and these private practices and these clinic networks, so they can deliver the best care to their patients. And on top of that we do some advertisement to the community and show that our mindfulness of community need is a benefit in not that we understand them, not only do that understand them, but that we want to provide them a superior service than is readily available from our competitors. So we do a lot of that. On top of the marketing in our community compounding continues to drive sales growth we are in 10 states now with the addition of Colorado, which we found out about today from an investor, so figure that and we are really happy that we have actually begun sales in many of these states New York, New Jersey, Texas, Illinois, and many of these states we have been delivering meds for a few months now and so we are looking to build on those footholds that we’ve developed. We are getting a lot of business from Texas, and Illinois, and so we are excited to spread west ward, to spread into Middle America and then go West Coast. Over just the quarters if we look at just the core isolated from everything else, sales are up about 6% from just the last quarter. Now a lot of that is compound, a lot of the increase in our gross profit is coming from these compound, but it’s not only that. We’re delivering different services than a lot of competition even amongst the independent pharmacies who deliver and provide MTM. We go above and beyond we meet with the doctors, we have our staff members go and spend a day with the doctors and the staff and really look at what they’re doing. And that’s been driving sales also because word of mouth has led people to us. People call us looking for us to deliver service to their practice without us even knowing who they are to begin with. So a lot of that is our marketing efforts, as well as compound. Gross profit continues to grow as a percentage of sales and in totality a lot of that again is compound, it carries a higher gross margin than your traditional pharmaceuticals. A lot of that is because its labor intensive, you have to get a lot of charts and note from the doctor in order to build a compound, so it does come with higher margins. Bad debt is minimal, less than five grand [ph] for an entire quarter. We do extremely well in collecting from our insurance carriers. We make sure, we watch every claim, we make sure we get paid on every claim that is due to us. So we have unexpectedly low bad debt when you compare it with your Walgreens, your CVS or any other pharmacy or healthcare institution out there. The other big change on our financial statement is the addition of accounting for the derivative liability. So we have the change in fair value, we have the amortization of the debt discounts and the debt issue cost. And that really is what has been different between showing a net profit as a bottom-line to less than $300,000 of net loss, a lot of this is non-cash items that we must account for. And this accounting is what has caused the delay of filing our financials instead of using collateral [ph]. We went with the best possible methodology and chose to do it through Monte Carlo and in the South Florida area there aren’t very many people who can do that calculation appropriately. So we took the time, we have the right people, we have the right numbers and we’re making sure we take all necessary steps to become auditable in the near future and we don’t want to take any shortcut. So it’s better a little late and perfectly rights then early and a little off. If we go -- move forward into the cash flow statement, cash continues to grow and that’s not just because of increases in accounts payable, because that’s not happening. We pay all of our payables within 15 days, some of them even sooner than that. And it’s not all explained by the addition of the Chicago Ventures. No, because we have become much more profitable, because our businesses is much more sustainable, we’ve been adding net cash quarter-after-quarter throughout this year and a lot of that started in the beginning of last year. So right now, we have upwards of $0.5 million of cash on hand and at any time, at the end of the quarter, we have close to $700,000 and it fluctuates depending upon the day, but we have at any time $0.5 million at least to use for the operation. What does that means for you guys, that means that we’re not desperate for money, as I said in conference calls and presentations before, we can fund our operations and the growth of our operations organically. What we need and what we sought after in the Chicago venture funding deal is a partner who’s going to see our growth objectives outside of just increasing prescription count, they’re going to help us look for opportunities to grow in other healthcare spaces and do acquisitions and increase and add new revenue streams that we don’t currently have. If we look at how this performance relates to last year, I mean it's like night and day. If any of you have been following us since last year, I mean we reported losses upon losses throughout 2015 mostly because of accounting for the 3(a)(10), the derivative liabilities associated with that and the interest expenses associated with eliminating all of that debt. And so today is a completely different picture where we’re showing operating profits, were showing that cash gain, we’re showing increases of 45%, we’re showing decreases in losses of 98% and we were profitable just on the nine months, we continue to be net profitable with about 200,000 to 215,000 in net profits and we hope to increase upon that in the next quarter. So if we look at the key accomplishments of this quarter and we've added three new states just in the quarter Illinois, Connecticut, Georgia, Colorado was added about a week ago. So that brings us up to 10, where we can view the new markets, new population dense market, where we can -- where our services are very valuable and necessary. So we are very optimistic of our ability to penetrate these markets and grow our compounding division and ship increasing numbers of prescription to these states. The other thing is we got the permits to finish the build out in the warehouse space. I know a lot of people were waiting on that, we were waiting on it too. So once we got the permit we were after the [indiscernible], a lot of the warehouse has been build out, the [indiscernible] has been installed, it’s fully functional, its operational, it runs from 8:30 to 6:30 and it's doing a phenomenal job in increasing our accuracy, increasing our speed, increasing our capacity and our reliability of services. So we are very excited that we've been able to add that to our workflow and be able to see gains from it already. What else, we also opened Smart Medical and for people who understand or don’t know or haven’t followed what Smart Medical Alliance really is. So Smart Medical Alliance is an independent MSO, a Management Services Organization and it's really targeted to healthcare organizations, and most MSOs are contracted with an insurance carrier, they are designed to help doctors meet benchmarks specifically for their contracted carrier. So Humana will have an MSO, United HealthCare will have one and we’ll have one of these insurance coverage who have their own MSO and they’ll pitch them to the doctors to improve their overall ratings, to improve their ability to receive bonuses. So what we've created is an independent MSO that will look at the categories that all insurance carriers look at, so we don’t have to be pigeon holed into one. So we can go to a clinics that accepts multiple insurances and help them improve their compliance and their adherence their monitoring their data and their trending -- their prescription trends and what we’ve done and it became operational for us in October, is go to the clinical lab that we serve and just in October they were receiving their TD [ph] score, they were receiving their evaluation from the insurance companies and a lot of them are surprised a lot because of the fact that most doctors are not business people and to expect them to be is unrealistic. So when they sign risk contracts that says, well you have to manage the overall health of the patient after the patient leaves your sign is very difficult and you have to not only manage their health, but you have to manage their costs as well and you have to manage everything that’s around -- that can have an impact on their health and their costs. So what we do is we take a lot of that work off their shoulders, we -- because we’re the pharmacy we know what meds they’re taking, from not just bad doctor but from every doctor. We know what hospitals they go to, we know what their home situation is like, because we deliver our meds to them, we know their families, we know there impediments, it’s in their prescriptions if they have allergies, usually they tell us and they don’t tell their doctors. So we have already the infrastructure in place for this business, so we’re ramping up the new business stream. We already have -- we came in through with three clients, we signed another two clinics and we expect to be reporting net profits on that business in the next three to six months. So we are very excited and that can only benefit PharmCo and as PharmCo benefits it can only benefit Smart Medical. So as a team of services we really are surpassing everyone in our spear by leading what a pharmacy should do for the community. And the only other thing besides that is securing the funding partnership, securing a relationship with a broker dealer. The funding partnership, while we were not desperate for funding, we believe that by having a good funding partner when we find the right opportunity, we’ll be able to go to people who we already have a relationship -- a strong relationship with, and they’ll be able to provide us with the capital necessary to achieve our growth objective. So then when we found our broker dealer who is [Indiscernible], now known as Boosted Securities. They are finding us opportunities that aren’t just simply small rollouts that aren’t just acquisitions of data basis so we’ve been increase our script count by a 1,000 a month. Rather they are looking for opportunities that makes sense where we can not only be auditable, but constantly uplift, become a much larger entity and also deliver a much different valuations for our shareholders. So we’re not desperate, we’re not looking for the first deal that crosses out path, we’re vetting several, and we want to find the right opportunity and that opportunity also has to make sense of what we do and it doesn’t make sense to just joining up with little Walgreens or CVS, though they ask every single month. We want to make sure that whoever our partner is understands what we do, understands what we do for our communities, understands what we do for healthcare in general and wants to be a part of that vision. So we are looking for strategic opportunities, and that will take some time. We are constantly vigilant, we are constantly diligent in making sure we look for these opportunities, we’re not sitting on our hands. As we look into the fourth quarter, very briefly we are excited by the momentum we have. At the start of the year, we said them pretty aggressive goals and through nine months and we met a great deal of them probability, sales, prescription count, state and licenses and the ScriptPro and compounding and all of that we said out for ourselves, we are meeting or have met already. So what shareholders can look to us in the next month and half, next five weeks, six weeks, is that, we are going to build on that momentum, we are going to secure new clinics or new nursing homes, where it be for PharmCo or whether it be for Smart Medical to increase our sales and diversify our revenue streams and we’re also going to go aggressively into these new markets and we have Pennsylvania and Colorado, Illinois, the Chicago area of Illinois where the demand for our services is very high. So we’re looking forward to getting the right staff in place in those areas who can market our services probably we can increase our sales not just Florida, but all around the country and we still have other states pending. So we’re doing them in batches, we didn’t file them all at once and also we’ve been adjusting compliance wise as we add new states. The one thing that a people don’t realize is state to state the laws on healthcare are different and the reporting requirements are different. So we wanted to make sure that as we enter a new state, we have all the pieces in place to make sure we’re compliant with each state and we’re doing a great job of keeping on top of that here, and compliance gear is second to none. We have our own staff, we do our own in-house audit and we make sure that everything is proper and right and accurate and good for us and people we serve. As we close out the year, we’re going to set some new goals going into 2017. Obviously, we want to increase sales but our biggest goal is to do audits and we’re looking forward to in 2017 do our first audited or reserve inventory count, get preparation, if not for the annual report we’re beginning to get the audits done in a systemic way for the quarterly report. So we’re looking forward to becoming OTCQB in the coming future or uplift even further than that and ultimately becoming fully reporting with the SEC. So thank you very much. I’m now going to open it up to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. First question comes from Diva Thompson from [indiscernible]. Please go ahead.
Unidentified Analyst: Yes. Good afternoon, Ms. Parikh Mars. Thank you for holding this conference call. I appreciate it and congratulations on all the great news that you've just supplied us with and what you've been doing this past year. I've seen your name here on Boosted Securities and I'm wondering if there is any kind of conflict of interest, I know you’re very particular about doing everything by the book.
Shital Mars: Right, so with my relationships with Boosted is actually a relationship that came out of convenience. Upon talking with them through that relationship I found out that they were in need of a spin-off and my role there is strictly that. So I look overview, I looked over their financials, I look over their compliance with the rules and regulations and I make sure that I inform them of any issues that I see, which I already have done. If I find something that I think could be done a little better, I definitely tell them. And so right now I don’t involve myself in any of their deals, I don’t know any of their trading practices, I don’t want to see them, what I want to see is to make sure that they’re reporting their financials in an appropriate manner and the reason they chose my to do that is because of my attention to detail and my strictness with compliances of FINRA laws and my knowledge of FINRA rules and regulations. So other than that they are pretty much in control of their destiny, I just make sure they’re reporting all of their numbers appropriately.
Unidentified Analyst: Great, I expected that. Just on then shared structure on the OTC market's you haven’t been updated since August 15th and I know you've got some subsequent events in your filing today can you enlighten us with a shared structure at all in terms of authorized outstanding et cetera?
Shital Mars: The authorized and outstanding hasn’t changed in this quarter. We haven’t issued any new stock. I do have stocks that will be issued in the next few weeks, I'm just waiting for my CFO to sign off on some paper, work we have about a half of million shares that were due for Monarch [ph], they will now Boosted that and we waited until -- for them to tell us how they want those shares issued, whether in the Monarch name or in the Boosted name, so we have that pursuant to that agreement and that is accounted for, the cost of which is accounted for on our balance sheet, but those shares have not been issued. And then we also have shares to be issued to MIDAM Ventures which we also disclosed. But as far as issued and outstanding, I think it's a 341 right now, 341, 107 something like that and that hasn’t changed from the last quarter. When I get off to this call I'm going to go and do the verification on OTC markets just to close that out. I was more concerned today with making sure the filing went out on time and that I was prepared for this call. So I'll go ahead and take care of that once we’re done here.
Unidentified Analyst : Sure that's 341 outstanding, if I might ask you a little bit about the operation itself. You are quite explicate and informative and detailed in telling us a lot about the way the marketing goes through from state to state and dealing clinics medical officers and so forth. Is your marketing plan now through another entity outside of your own officers?
Shital Mars: No, actually it is very important, and this is partially because of the laws in the state of Florida and also because it's just good for business. We like to keep things in-house and our marketing and our sales staff are in-house sales people and were actually trying to increase that. So when we get marketing people or sales people in others states they are going to be employees of PharmCo. They understand that their loyalties are to PharmCo, they understand that they represent PharmCo and all of their interaction with the healthcare providers that they meet. So a lot of that is Florida law, where they have to bona fide employees of the company in order to receive any kind of remuneration for sales that they do, but it also makes good sense, because when people aren’t employed by your company, they don’t represent your company, when they walk in the door, they can very easily change their ties and switch and choose another pharmacy or choose another place to go. So that’s really what we try to do, we try to keep control of it, we try to keep control of our brand and do everything in-house.
Unidentified Analyst: And can you disclose how many employees you currently have and much you plan to grow by?
Shital Mars: Well, that’s really great question. We have actually added, in a single week recently we added four people. I just looked at the numbers, if we include some independent contractors who devote substantial time to us, we’re at 46. Of those we have 28 full-time and 15 are part-time. And so growth, I mean I’m looking at two employees right now, for -- in the short term and that can grow even further. I mean demand is really dictating the number of employees we need and we’re not going to short change demand, we want to make sure we do our services right. So as we need them we’re going to get them.
Unidentified Analyst: And are you actually now using your new warehouse?
Shital Mars: We are and that is a beautiful thing. Hopefully soon we’ll be able to get some pictures up and put those out on the website, but we have a warehouse space that is significantly built out, we need to get some counters and other items in their to restructure our workflow, but we are using the warehouse, we are storing some meds back there, we’re using the ScriptPro and it’s producing some phenomenal results for us, so we’ve been very excited about it.
Unidentified Analyst: I know you have mentioned the compounded medication or more personalized meds and that’s primarily the driver of your growth. There are other things, so you also noted potential acquisitions. Would it be similar fields that you’re looking to acquire others?
Shital Mars: Actually can you repeat that question, I’m so sorry.
Unidentified Analyst: No, no problem, I just mentioned your compounded medication being your primary driver of growth as is noted in your press release today. That’s kind of personalized medication that have probably a higher profit margin to it of course. But you have other things also in the pipeline, as I heard you mention potential acquisitions. Would they be companies or operations that are similar to yours?
Shital Mars: Ideally, yes. It makes sense where -- and I think I’ve said this in previous conference calls or presentations. What we are trying to develop at Progressive Care is almost a healthcare ecosystem, where each of the entities funnels relationships to each other, is mutually beneficial to each other. So it doesn’t make sense for us to all go and start doing plastic surgery. So we tried to look for an opportunity maybe outpatient, surgical center or positively emerging care, thing that really makes sense with what we do as a pharmacy, what we do for doctor’s offices and clinics and also that won’t create undo competition within what we do. So we don’t want to setup a new clinic network and lose all the clinics we already service. So it takes a bit of balancing to find the right opportunity and that’s what we’re trying to do.
Unidentified Analyst: Do you have a lot of competition?
Shital Mars: We have tremendous competition. I mean outside of the chains, unless you’re talking about your public Walgreens and Walmarts that are very convenient. We have independent pharmacies all over that are constantly trying to attract new customers, they offer them incentives and coupons and a lot of them are based and firmly entrenched in communities and they are -- the competition is quite intense. I mean there is [indiscernible] hopefully as they do a lot of things to incentivize a patient to come to their pharmacy and so we have to keep up-to-date. And that’s why it’s not important as much, and I’m going to hedge this a little bit, so it’s important to compete on price, in what we do. There are -- it is very likely that there are other pharmacies who can provide a cheaper prescription to the patient. However, what we do that’s very different from what a lot of pharmacy do in service and when you’re small and not that we’re tiny, but we’re not as big as the big guys, you have to compete on service and so we know our patients names, we know what are their doctors names, the administrators name. I mean today we’re delivering turkeys to clinics and patients all over South Florida. I think we’ve bought over 300 to deliver today. And those things matter and that’s how we compete, our charitable contributions, our participation in church events and synagogues, and it’s important that we get out there in the community and know the community and they trust that every month or every three months their prescription will be waiting for them at their door step and that’s good for the patients, that’s good for their families and that’s good for the doctors and that’s good for us. So that’s what we try to do here.
Unidentified Analyst: Very glad to hear. That’s here I am and Connecticut one of your newer states if I wanted to access your product from progressive care, what do I do as a potential patient?
Shital Mars: So really you have a couple of options, if you go to your physician and let’s say you have an ailment, diabetic neuropathy, I’m just going to pick one. And we believe that a non-narcotic pain cream would be more beneficial to you than the currently available pill medications. You can speak to your doctor about it, you can have our pharmacists speak to your doctor about it, give him an in-service, a bit of education, if he’s unfamiliar or she is unfamiliar with what compound can do for what your medical situation is and you can get the script yourself and send it to us and what is been more likely between communication between the pharmacists and the doctors, the doctors are going to send it directly to us, you can give them our fax number and they can send the prescription directly to our compounding pharmacies and she’ll take care of it. But that’s really the best way, is to communicate with your doctor.
Unidentified Analyst: All right. Well thank you so much for the wealth of information, I appreciate your candor.
Shital Mars: You’re welcome.
Operator: [Operator Instructions]. Next question comes from Brian King, a Private Investor. Please go ahead.
Brian King: Can you hear me?
Shital Mars: I can hear you.
Brian King: Okay, I'm sorry. I forgot I had you on mute so I didn’t interrupt your last conversation. But I've been wondering I've been listening to a lot of the stuff you’ve been answering already and all those questions were mine, but I was wondering when our S&P was planning on leaving the [indiscernible]?
Shital Mars : I want to address that because I think you’re not the only one with that question. What we have been trying to do over the past year, year and a half is preserve capital. There was a reason we withdrew from SEC reporting back in 2014. And mostly because as small as we were then, the capital cost to be fully reporting, to do the audits, to have the attorneys and the accountants on staff to do that right was crippling to be honest with you. So now that we are growing, now that we are fundamentally stable, that we are financially stable and growing these are the steps we are taking to leave the pinks. [ph] We are most likely going to be doing the audit if not for the annual report, the first quarter of 2017 is the plan to begin doing audits in earnest. We're going to have our inventory count observed in January. So that’s one of the first steps that we need to take. Once we do those things we need to file just to go to OTCQB all we need to do is file audited financials -- for OTCQX, for the previous year. So we can audit 2016 and uplift at least to the OTCQX and you will begin to see auditor's reports on our financials and audits going forward. But if you are looking big picture which I think most of you are, staying on the [indiscernible] on OTCU is a short-term solution to meeting a long-term goal, which is to become an institution with a lot of partners, a lot of growth, a lot of potential that is worthy of being NASDAQ listed and also to the point where doing audits and having legal aid and everything else isn’t going to impact the operation. So that's where we're headed I would anticipate two to three years in the short-term for at least for getting to OTCQX.
Brian King: Alright. Thank you.
Operator: [Operator Instructions] Our next question is a follow- up from Diva Thompson. Please go ahead.
Unidentified Analyst : Guess I figured I’d take the opportunity before I lose you. If you might answer how many people on the call this afternoon and why did you change from 9:00 this morning to 4:30?
Shital Mars : Actually there is a pretty funny story, because we were waiting for our accounting firm to evaluate the Monte Carlo valuation that we was conducted by the company, we were being told to expect their review report Monday morning. So we in anticipation of that, we didn’t want to hold the call prior to signing the report, so moved it from 9 o’clock to 4:30 to allow for that. It turns out not 10 minutes later from when we move to the call, we got the review reports. So that’s the story behind that, but originally that’s why we moved it.
Unidentified Analyst: Okay. And do you know how many people are on this call?
Shital Mars : Over 50.
Unidentified Analyst: Great. I just heard you mention, a couple of years to go to QX, would you consider going out of OTC altogether right up to the NASDAQ?
Shital Mars : Yes. And so couple of years, the reason why I say that. So next year we are going to be doing audits, so 2016. So that’s a very minimum by 2018 you should expect to see us there. If not going to NASDAQ now it would take six to 12 months for us to secure a deal and do the audits for uplifting to NASDAQ. So I want to make sure that I allow for the time for that, due diligence is also part of that. So that’s really why I say two years, 2017 you should expect to see audits for the company going into OTC and then the ultimate goal again is to uplift beyond that.
Unidentified Analyst: Wonderful. Thank you, again very much and Happy Thanksgiving.
Shital Mars : Happy Thanksgiving to you.
Operator: [Operator Instructions] This concludes our question-and-answer session. I’d like to turn the conference back over to Ms. Mars for any closing remarks.
Shital Mars: So, very quickly, I’m so glad that all of you took the time out of your day to listen to us. I hope you all have a wonderful holiday and I just want to take a brief movement to point out and talk about the passion behind what we do and how much we love what we do here. A lot of it get lost in the numbers, a lot of it gets lost in talking about derivatives and contracts and everything else. But really we’re in the business of people and making people healthier and happier and live better lives. And so we do a lot that lot of people don’t do, that a lot of people don’t take the time to do and that is really why we are here and that’s a lot of why we grow. And so the people that have invested in us, who have stood by us, who have invested in us when we were worth less than a penny, who are going to be here when we worth more than a $1. For those people you’re supporting not just numbers, you’re supporting a team of 50 going forward and delivering good service to good people. So thank you very much. Happy Thanksgiving to you all.
Operator: And ladies and gentlemen thank you for attending today’s presentation. You may now disconnect.